Operator: Welcome to the Amplify Energy's First Quarter 2020 Investor Conference Call. Amplify’s operating and financial results were released earlier today, and are available on Amplify's website at www.amplifyenergy.com. During this presentation, all participants will be placed in a listen-only mode. Today's call is being recorded. A replay of the call will be accessible until Thursday, May 20, by dialing 855-859-2056 and then entering conference ID number 7947106, or by visiting Amplify's website, www.amplifyenergy.com. I would now like to turn the conference over to Eric Willis, Senior Vice President and General Counsel of Amplify Energy Corporation.
Eric Willis: Good morning. And welcome to the Amplify Energy conference call to discuss operating and financial results for the first quarter of 2020. We appreciate you joining us today. Martyn Willsher, Amplify's Interim Chief Executive Officer and Chief Financial Officer will lead the call with comments on our first quarter results and liquidity enhancement initiatives before concluding with comments about our liquidity, hedge positions and operational outlook. We would like to remind you that some of our remarks may contain forward-looking statements and are based on certain assumptions and expectations of Amplify’s management team. These remarks reflect management’s current views with regard to future events and are subject to various risks, uncertainties and assumptions. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to be correct and undertakes no obligation and does not intend to update these forward-looking statements to reflect events or circumstances occurring after this earnings call. Please refer to our press release and SEC filings for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. In addition, the unaudited financial information that will be highlighted here is derived from our internal financial books, records, and reports. For additional detailed disclosure, we encourage you to read our Quarterly Report on Form 10-Q, which we expect to file later today. Also, non-GAAP financial measures may be disclosed during this call. Reconciliations of those measures to comparable GAAP measures may be found in our press release or on our website at www.amplifyenergy.com. With this in mind, I will now turn the call over to Martyn Willsher. Martyn?
Martyn Willsher: Thank you, Eric, and thank you to all of our stakeholders for joining us today. The last few months have been difficult, not only for those of us in the oil and gas sector, but also for the global community due to the profound impact of the COVID-19 pandemic. With that in mind, I would first like to discuss our most important resource, our people. Thanks in no small part to the excellent procedures and initiatives enacted by our field and office staff. I am extremely pleased to be able to say that at this time we have had zero Amplify employees or contractors test positive for COVID-19. Not only that, we have maintained our strong safety standards with zero lost time accidents, and due to the ingenuity and flexibility of our operating teams, we have also had zero operational downtime due to COVID-19. This is a tremendous testament to the people of this Company, and I express my appreciation to all of them for their sacrifices and strength during this time. My remaining remarks will provide an update on our performance in the first quarter, along with providing additional details on our recent liquidity enhancement initiatives, and hedge program before concluding with comments on our operational outlook. Production for the first quarter averaged approximately 29,700 Boe per day, which was at the high end of our guidance range for the quarter. This performance was due to strong results across all of our operated areas, including Bairoil, which produced steadily following start-up challenges in connection with the expansion project in the early part of January. In addition, Mississippi Lime production stabilized following an enhanced, targeted workover program during the quarter, which substantially reduced the backlog of offline wells from the fourth quarter. All other operated areas including East Texas and California produced at or better than forecasted levels. Lease operating expenses in the first quarter were $35.7 million or $13.23 per Boe, which was below the midpoint of our guidance range. This result was primarily due to better than expected production. Capital spending for the first quarter was approximately $15 million, which was below the guidance midpoint of $16 million. First quarter capital spending was primarily focused on the Mississippi Lime and Eagle Ford. In the Mississippi Lime area, we spent $5.4 million related to rod lift conversions and ESP replacements. In the Eagle Ford, $5 million was incurred for non-operated drilling and completion activity, which primarily occurred prior to the commodity price collapse in mid-March. The remainder of our first quarter capital was spent selectively to maintain facilities and equipment, as well as delivering high rate of return workover projects. G&A for the first quarter was $8.3 million, which was in line with our fourth quarter G&A expenses and included $0.5 million of transaction costs and a reversal of $0.9 million of year-end stock compensation. Due to a one-time increase in employee cash costs, along with some front-loaded benefit, legal and IT-related costs, Amplify’s first quarter cash G&A was $8.7 million, or on a per unit basis, $3.21 per Boe. However, as a result of our cost reduction initiatives and the tapering of front-loaded costs, we consider our first quarter G&A to be a significant outlier. We currently expect cash G&A to be approximately $6 million in the second quarter before falling to approximately $5.5 million in the third quarter and thereafter. First quarter adjusted EBITDA and free cash flow, which we define as adjusted EBITDA, less CapEx and cash interest expense, was approximately $17 million and negative $2 million, respectively. The negative free cash flow was primarily driven by our capital spending in the first quarter, which was committed to prior to the downturn of the oil market. Before moving on from our first quarter results, I would like to also mention the non-cash asset impairments that drove our net loss for the quarter. Due to the substantial decrease in commodity prices during the first quarter, Amplify incurred non-cash property impairment charges of $455 million. This included impairments of Amplify’s operated East Texas, Beta and Bairoil fields as well as leasehold acreage in Oklahoma that is unlikely to be developed prior to lease expiration based on current commodity prices. Now, I would like to share with you our liquidity enhancement initiatives that the Amplify team has been working on in response to the changing economic backdrop. During this period of uncertainty and unprecedented low commodity prices, Amplify has made significant progress executing many liquidity enhancement initiatives to better position the Company through this market downturn. This campaign includes material decreases in operating and G&A expenses, substantial reductions to capital programs, the monetization of a portion of the Company’s 2021 crude oil hedges, the receipt of loan proceeds from the federal government’s Paycheck Protection Program, Beta royalty relief and the suspension of the quarterly dividend. First, operating cost and corporate overhead reductions. The Amplify team performed a bottom-up evaluation to identify cost saving opportunities and has implemented numerous cost reduction projects that will meaningfully reduce LOE and G&A. The Company has worked closely with its vendors to decrease costs associated with supplies and services, which are forecasted to generate approximately $18 million of annual savings. Additionally, as mentioned earlier, the Company is expected to deliver at least $2.5 million in annual savings from reduced cash G&A expenses. We expect that these savings will be partially realized in the second quarter and then fully realized by the third quarter of 2020. Second, capital reductions. We have reduced the capital budget for 2020 by 41% from an initial estimate of $46 million to the latest estimate of $27 million. Amplify’s remaining capital expenditure budget of approximately $12 million for 2020 is focused largely on maintenance capital projects, which are essential to equipment integrity and operational efficiency, and on select high rate of return workover projects. Third, our hedge monetization. As part of our liquidity enhancement strategy, Amplify has recently monetized nearly 1 million barrels of 2021 crude oil swaps for total cash proceeds of approximately $18 million. This transaction provided immediate cash flow benefits, but also provides additional time for a commodity price recovery as we consider our hedge strategy moving forward. Fourth, on April 24, 2020, the Company received a $5.5 million loan under the Paycheck Protection Program. This program was established as part of the CARES Act to provide loans to qualifying businesses. The loans and accrued interest are forgivable after eight weeks provided that the borrower uses the loan proceeds for eligible purposes. At this time, the Company anticipates that a substantial majority of the loan proceeds will be forgiven under this program. Fifth, Beta field royalty relief. Due to the recent reduction in oil prices, Amplify expects to qualify for statutory royalty relief at its Beta field in the third quarter of 2020, subject to standard review by the U.S. Bureau of Safety and Environmental Enforcement. Once approved, Amplify’s royalty rate at Beta will decrease by 50%, resulting in increased production of approximately 500 barrels per day, which equates to additional revenue of approximately $5 million annually assuming a $30 per barrel WTI price. Finally, the suspension of our quarterly dividend program. Given the volatile environment and significant uncertainty in the price of oil, Amplify’s Board of Directors has decided to suspend the quarterly dividend program until further notice. This dividend suspension will result in approximately $15 million per year in retained cash, based on a quarterly dividend rate of $0.10 per share, which will further improve the Company’s liquidity. Collectively, due to improvements in operating costs and G&A, royalty relief at Beta and the suspension of the dividend, the total amount of recurring annual cash flow improvement is approximately $40 million. In addition, Amplify has effectively added $42.5 million of additional liquidity from capital reductions, hedge monetizations and the Paycheck Protection Program. Combined, this is over $80 million of liquidity enhancement that will help the Company weather this extraordinary downturn and capitalize on the recovery in both commodity prices and the global economy. Moving on to our current liquidity position. As of May 1, 2020, Amplify had total debt of $290 million under its revolving credit facility with a current borrowing base of $450 million. Amplify’s liquidity was $187 million, consisting of $27 million of cash on hand and available borrowing capacity of $160 million. Amplify’s spring 2020 borrowing base redetermination process has been delayed relative to prior years due to the substantial change in commodity prices, but we have utilized this time to increase near-term liquidity and future free cash flow. While we expect a decrease in our borrowing base due to lower bank price decks, we continue to work collaboratively with the banks and expect that the process will be completed later in the second quarter. Moving on to our latest hedge position. Since our last earnings call in March, Amplify has added to our hedge positions in natural gas for 2021. Inclusive of the new gas hedges, the Company is over 90% hedged on gas in 2021 based on Amplify’s 2019 year-end reserve report forecast with half the hedges being swaps and the other half being costless collars. These positions allow us to lock in a certain percentage of our future cash flows, while also allowing us to benefit from upside opportunities and mitigating downside risk. As of May 1st, our hedge mark-to-market value was a net asset position of $77 million. Furthermore, as compared to Amplify’s 2019 year-end reserve report, Amplify has hedged more than 90% of second quarter 2020 crude volumes and more than 80% of crude volumes for the remainder of 2020. These crude hedges will provide significant value and security to our shareholders during the lowest point of the oil price curve. Amplify’s first quarter 2020 hedge presentation contains additional details on our current positions and was posted on our website earlier today under the Investor Relations section. After delivering strong production in the first quarter, Amplify, like most operators, faces uncertainty in this low-demand and tight-storage capacity environment. At this time, Amplify’s only identified production limitation is an expected 30% curtailment of the Company’s non-operated Eagle Ford production as of April 1, 2020 due to plant capacity limitations. In addition, the Company’s Bairoil plant will conduct its regularly scheduled annual turnaround in the second quarter 2020, which will temporarily reduce crude volumes in that area. Other than these two situations, Amplify currently does not anticipate any material curtailments or shut-ins across its properties. While we believe we are likely to continue producing through the current period, access to markets for our products may change at any time due to capacity limitations for gathering and transportation systems or end-users. Due to this and the uncertainty regarding the full impact of COVID-19 on the broader U.S. economy, we are withdrawing the full-year 2020 guidance issued on March 5, 2020. Management and the Board will reassess this position in future periods based on the macroeconomic recovery, as well as our ability to reasonably provide an outlook for our investors. The first quarter was a challenging period due to COVID-19 and its devastating impact on global economies and oil demand. However, despite market headwinds, Amplify is continuing to take proactive steps to maintain balance sheet stability and improve our liquidity position. We consider our $80 million liquidity enhancement campaign to be a strong start, and we will continue to look at additional options to protect the balance sheet during this historic downturn. Before concluding, I would like to again thank our employees for their professionalism and commitment as we continue to operate our business in a safe and environmentally responsible manner through these difficult times. Thank you for joining us today. And as always, please do not hesitate to reach out to us with any additional questions.
End of Q&A: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.